Operator: Good day, and thank you for standing by. Welcome to the ATN International, Inc. Q4 2024 earnings conference call and webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Michele Satrowsky. Please go ahead.
Michele Satrowsky: Thank you, operator, and good morning, everyone. I'm joined today by Brad Martin, ATN's Chief Executive Officer, and Carlos Doglioli, ATN's Chief Financial Officer. This morning, we'll be reviewing our fourth quarter and full year 2024 results and providing our 2025 outlook. As a reminder, we announced our 2024 fourth quarter results yesterday afternoon after the market closed. Investors can find the earnings release and conference call slide presentation on our Investor Relations website. Our earnings release and the presentation contain certain forward-looking statements concerning our current expectations, objectives, and underlying assumptions regarding our future operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information for investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures, and for additional information regarding these factors that may affect our future operating results, please refer to our earnings release on our website at ir.atni.com or the 8-K filing provided to the SEC. Now I'll turn the call over to Brad.
Brad Martin: Thank you, Michele. Good morning. Thank you all for joining us today for ATN's fourth quarter and full year 2024 earnings call. I appreciate your time and continued interest in our company. Before I begin, I want to recognize our teams across the organization for their hard work and dedication. Your focus and execution enabled us to make meaningful progress in 2024 despite some challenges in our US operating markets. 2024 was a year of strategic execution and disciplined investments. As the telecom industry continues to evolve, our approach remains focused on long-term value creation, operational efficiency, and financial discipline. It also marked the final year of our three-year investment cycle in First to Fiber and Glass and Steel, during which we accelerated capital expenditures beyond historic levels to fortify our market-leading positions. In this period, we expanded our fiber route miles by 32%, doubled the number of broadband homes passed by high-speed services, and increased our high-speed capable customers by 44%. As we enter 2025, we will focus on utilizing our long-lived fiber assets to deliver fiber and fiber-fed services to the markets we serve. For 2024, we delivered results aligned with our revised expectations for the year, balancing growth in key areas with the transition of our US business. Full-year revenue came in at $729 million with an adjusted EBITDA of $184 million. Strong cost discipline and operational efficiencies enabled us to increase cash flow from operations by 16% year over year, underscoring our focus on financial resilience and capital efficiency. In 2024, our international segment continued to grow, reinforcing its role as a strong contributor to our overall business. Through these efforts and actions, which we'll take in 2025, we will position ATN for long-term strength and resilience. In the US, we continue to move away from legacy technologies and consumer service offerings derived from those older technologies and toward enterprise and carrier-driven fiber-based revenue streams in fiber-fed consumer services. This transformation is critical for building a stronger and more sustainable business. In the US, we invested in our infrastructure to expand our fiber network with a focus on higher-value markets that will drive long-term returns. We exited lower-margin services that no longer fit into our long-term strategy, allowing us to streamline operations and optimize our portfolio. We have made key leadership changes, bringing in experienced operators who understand how to drive efficiency and growth in our evolving markets. While we expect this shift will result in short-term revenue decline, it positions us for long-term stability and higher-margin growth. Our network expansion and enterprise and carrier-centered strategy will create a more durable and sustainable revenue base moving forward. In our international segment, we continue to deliver steady revenue growth and margin expansion in 2024, supported by strong demand for high-speed broadband and business solutions. With international segment adjusted EBITDA growing 10% year over year, business service revenue increasing 6%, and with business mobility revenue increasing by 21%, we are well-positioned to enter 2025 with a strategy focused on the following: growing broadband penetration by increasing connectivity across our markets with a focus on high-value customer segments, improving operational efficiencies by managing costs effectively, ensuring that revenue growth translates into stronger margins and improved operational free cash flow, and expanding fiber and business mobility services to continue to develop and strengthen our competitive position and market leadership. This performance serves as a blueprint for success as we transition our US business to a similarly efficient high-value model. As we continue to expand our infrastructure and optimize operations internationally, our investments in high-speed broadband, fiber, and next-generation connectivity are supporting digital transformation across the Caribbean region. The expansion of reliable high-capacity networks not only strengthens our position but also plays a critical role in fostering economic growth, innovation, and accessibility, in line with the broader goal of creating a more digitally inclusive and globally competitive Caribbean. In the US markets, one of our unique strengths is our ability to secure government funding to accelerate fiber expansion. We and our partners have been awarded more than $370 million in government grants, which will support fiber deployments in key markets. These investments enable network expansion with lower capital intensity, creating long-term optionality for growth. They also reinforce ATN's role as a key provider of broadband infrastructure, particularly in underserved markets. This funding is a major differentiator that allows us to grow in a financially disciplined way while supporting our long-term infrastructure strategy. In 2025, we will complete a substantial portion of these grant-funded projects, positioning us for monetization in 2026 and beyond. ATN has a clear strategy built around three key strengths: first, fiber and fiber-fed telecom services. We invest in high-value fiber infrastructure as the foundation for long-term growth to support the growing demand for high-speed broadband services. Secondly, enterprise and carrier solutions. We enable higher-margin business-driven service revenues with fiber-led technology services and local market expertise. And finally, optimizing operations and capital allocation while leveraging government grants to enhance operational free cash flow and shareholder value, reservable assets, and revenue streams. This approach positions us for consistent performance and long-term value creation. Looking ahead to 2025, our strategic focus remains clear: maintaining our strong competitive position in our international markets with fiber and fiber-fed solutions while also advancing our cost optimization efforts to increase free cash flow. Leveraging our government-funded projects to expand infrastructure while we continue to optimize our US business for more durable revenue sources and sustainable free cash flow. In maintaining a prudent capital allocation strategy, with an objective to use the increased cash flows to return value to shareholders. While we expect some near-term variability as we complete this transition, our focus remains on strengthening our core operations, enhancing efficiency, and expanding operating cash flow in the years ahead. Carlos will provide more detail on the financial outlook. We remain confident that our disciplined execution and strategic investments position ATN for long-term success. And with that, I'll hand the call over to you, Carlos.
Carlos Doglioli: Thank you, Brad. Good morning, everyone, and thanks for joining us today. Today, I'll walk you through our fourth quarter and full-year results, as well as our financial outlook for 2025. Before getting to that, I want to reiterate Brad's comments that 2024 was a year of disciplined execution as we navigated challenges while remaining focused on long-term value creation. For the full year, our international telecom segment achieved modest year-over-year revenue growth. However, on a consolidated basis, revenues were impacted by the sunset of a significant program in our US telecom segment. In light of these dynamics, we took proactive steps and implemented cost containment measures to limit negative cash flow outcomes. With that, let's now review our P&L results for the fourth quarter and the full year 2024 in more detail. Total company revenue for the fourth quarter was $680.5 million, down 9% when compared with the same period in 2023. The step-down reflects the overall revenue decline in the US telecom segment, due in part to the impact of the conclusion of the Emergency Connectivity Fund and, to a lesser extent, the Affordable Connectivity Program, as well as lower legacy wholesale roaming revenues as we transition that service to the carrier services model. Additionally, in 2024, construction revenue was lower compared with the previous year. For the full year, revenue totaled $729.1 million, representing a 4% decrease from 2023 due to the factors previously mentioned. Operating income in the fourth quarter increased to $8.7 million versus operating income of $3.3 million in Q4 of 2023. The year-over-year increase was primarily due to a $6.6 million reduction in restructuring expenses and a $5.8 million reduction in the cost of services, partially offset by the impact of lower revenue. Full-year operating loss for 2024 was $0.8 million, versus a full-year operating income of $13.2 million in 2023. The loss in 2024 was driven primarily by the year-over-year revenue decline and the $35.3 million goodwill impairment charge taken earlier in the year. Net income for the fourth quarter was $3.6 million, or $0.14 per share. This compares with a prior year's net loss of $5.8 million or $0.46 per share. The year-over-year increase in net income was primarily driven by an $8.9 million tax benefit. Full-year 2024 net loss was $26.4 million or $2.10 per share compared to a net loss of $14.5 million or $1.25 per share the previous year. The increase in full-year net loss reflects the goodwill impairment charge of $35.3 million. Adjusted EBITDA for the fourth quarter was $46.2 million, down 9% from the year-ago period primarily as a result of the decline in US telecom revenues. Full-year 2024 adjusted EBITDA decreased to $184.1 million, down from $189.5 million in the prior year. Looking now at the segment's performance. Beginning with our international segment, Q4 revenues of $94.8 million were essentially flat compared with the fourth quarter of the previous year. International revenue for the full year 2024 was up nearly 2% to $377.5 million, driven by high-speed data subscriber and fixed revenue growth. Adjusted EBITDA for the international segment increased 4.8% for the quarter and 9.7% for the full year. Demand for high-speed broadband services and operational improvements contributed to the quarter. In our domestic segment, fourth-quarter revenues were $85.8 million, down 18% year over year and down 10% for the full year. As previously mentioned, revenue was impacted by the conclusion of the ECF and ACP government programs and lower construction revenue. The revenue decline led to a decrease in EBITDA for the domestic segment, down 29% for the quarter and 20% for the full year. Moving on to the balance sheet and cash flow highlights. We ended the year with a net debt ratio of 2.54 times on total debt outstanding of $557.4 million. Our net cash provided by operating activities was strong at $129.2 million for the year ended 2024, up from $111.6 million in 2023. This was driven primarily by improvements in working capital and gains realized from asset dispositions. Turning now to capital expenditures. CapEx for the year totaled $110.4 million, net of $108.5 million in reimbursable capital expenditures. This compares to $163.3 million, net of $32.9 million in reimbursable capital expenditures in the prior year. Notably, beginning in 2024, we dialed down the capital intensity of our business as planned, marking the conclusion of our three-year investment strategy. We continue to see government support as a key factor in enhancing our infrastructure in rural US markets. We returned capital to our shareholders through $14.7 million in dividends and $10 million in stock repurchases during 2024. With that, let's move to our outlook for 2025. In 2025, our priority is to stabilize the US telecom segment and continue expanding margins in our international segment with the goal of enhancing cash flow generation and strengthening ATN's long-term profitability. We expect modest international revenue growth while domestic revenue will continue to reflect the shift from legacy services to a longer-term competitive position anchored in enterprise and carrier services. Adjusted EBITDA for the international segment is expected to expand alongside revenue growth and cost efficiencies. Domestic profitability will be temporarily impacted as we focus on solidifying the foundation of our business for future opportunities. Turning to our outlook for 2025. We expect full-year revenue in 2025 to be in line with 2024, excluding construction revenues. Adjusted EBITDA to be essentially flat with last year. Capital expenditures in the range of $90 to $100 million, net of reimbursements. Net debt ratio to remain in line with the prior year with a slight potential improvement exiting 2025 compared with 2024. We continue to monitor the net debt ratio with the objective to bring down leverage closer to 2x over the medium term. Before handing the call back to Brad, let me provide some insight into how we expect the quarters to play out in 2025. In the first quarter, we expect adjusted EBITDA to be relatively flat to slightly down compared with last year, with restructuring and reorganization charges in an amount similar to the amount taken last year. We expect a more consistent linear improvement as the year progresses, with the second half contributing the majority of our annual results. The expected quarterly cadence reflects continued growth in our international segment, muted by the business transition underway in our domestic segment under new leadership. In summary, as we enter 2025, our focus remains on improving cash flow, driving operational efficiencies, and transitioning to more sustainable, recurring revenue streams. We are confident that these efforts will support long-term shareholder value creation. Thank you again for your time today. I will now hand the call back over to Brad.
Brad Martin: Thanks, Carlos. Before we wrap up, I want to reiterate our core message. We are focused, disciplined, and executing on our strategy. We've taken meaningful steps to position the business for long-term success, balancing strategic investment with the financial discipline to drive operational efficiency and future growth. Our US business is evolving, aligning with the increasing need for enterprise and carrier solutions. Our international operations continue to deliver, reinforcing our ability to scale and optimize in key markets. Our infrastructure investments, backed by government funding, provide opportunities for sustainable expansion with lower capital intensity. The strength of our strategy lies in execution and adaptability. Our focus remains the same: building a resilient, high-performing business that delivers long-term value. Thank you for your time and continued support. We appreciate your interest in ATN. And we look forward to keeping you updated on our progress. With that, operator, we'd like to open up for questions.
Operator: One one on your telephone. Wait for your name to be announced. To withdraw your question, please press star one one again. Please standby while we compile the Q&A roster. Our first question comes from Hamed Khorsand with BWS Financial. Your line is open.
Hamed Khorsand: Hi. Good morning. First question I had was about the capital expenditure budget. Last year, you had been mentioning that your target was going to be 10% to 15% of revenue. This time around, it's a little bit higher on the initial guidance. Is there additional projects you're taking for 2025? Can you just explain what your goals are?
Carlos Doglioli: Hi, Hamed. This is Carlos. Thanks for the question. We believe that the guidance is in line with those expectations. Well, you know, 10% to 15% will, you know, that's and and we could, you know, as as we as we mentioned, you know, we've been scaling back CapEx. In 2024, it was close to 30% lower than the previous year and for 2025, we're expecting continuous improvement along those lines. And the major dynamic too is the reimbursable CapEx to to grant the all of the the grants that we have participated in.
Hamed Khorsand: Got it. And then the other question I had was, you've given a lot of stats over the years about homes passed, but it sounds like you're changing focus to enterprise and carrier. Are there any statistics you could provide as to what kind of traction you're getting on that front, how many customers you're gaining, and so forth?
Brad Martin: So yeah, Hamed, this is Brad. You know, there is you know, there has been a focus on enterprise and carrier for a long time, and that really has been the core of our US markets you know, for many years. Internationally, it's a it's a more, you know, spread customer base between consumer, enterprise, carrier, wholesale. So from a go-forward well, even even in 2024, we we did see enterprise growth internationally. As long as our stronger performing areas about 6.5% growth in our business base. We did see about 2.7% quarter over quarter subscriber growth in business customers internationally, in Q4. So it is a key area for international which does have a broader consumer segment. And then on a go-forward for enterprises also US markets, an important dynamic that we are we're working with is that, you know, we are seeing increasing pipeline demand for additional capacity. In the form of backhaul and even even demand for things like spectrum are are increasing. So something that we, again, have been working with many years in our US markets and continue to monitor for the best outcomes of the business.
Hamed Khorsand: Okay. And then last question is on the international side in mobile. You saw more prepaid subscribers drop off this past quarter. Was that competition or was it just the consumer changing their habits to how many phones they have?
Brad Martin: Yeah. This is primarily competition. That's primarily in our largest market in Guyana. We talked previously on calls. There was a new 5G entrant that came into the market about 18 months ago and and had did have an impact on the prepaid segment and the prepaid segment where the impact was was really for your pay-as-you-go prepaid voice customers. So these are our lowest ARPU customers in that market. We did we have seen, you know, significant growth in our data plans. Part of our strategy in that market as Guyana has been growing economically it's provide it's effectively get to the higher value plans into the higher value customer base. And we have continued to see good movement with with some significant improvements in our our data plan subscribers about 26% year over year.
Hamed Khorsand: Great. Thank you.
Operator: Thank you. Our next question comes from Rick Prentiss with Raymond James and Associates. Your line is open.
Rick Prentiss: Hey. Good morning, guys. Morning. Hey, Rick. Hey. A couple questions for you. Obviously, going deeper into the carrier managed services think I heard you just mentioned to me the the backhaul side of it. What specific services are you guys looking to do there? Is it also maybe dark fiber, and you mentioned spectrum demand. How do you monetize spectrum demand on that carrier managed services side?
Brad Martin: So so, Rick, part of our part of our carrier managed services offering is inclusive of some of our spectrum assets. So we do have we do have the ability to lease our spectrum assets. It's a relatively lower component of that business. But carrier managed services is inclusive of lit services, dark services, tower lease, tower service maintenance, backhaul services, and and and in some cases, we actually do leverage our spectrum with with the carriers that our spectrum holds, so that's primarily in the Southwest.
Rick Prentiss: Okay. Has there been any thoughts about maybe trying to monetize the spectrum through a sale? We've seen a similar now glass and steel company, TDS US Cellular, sold their wireless operations sold chunks of spectrum not just in wireless to T-Mobile, but to Verizon and AT&T. Any thoughts about would there be more value created by selling the asset rather than leasing the asset. On Spectrum or on some of the consumer markets.
Brad Martin: Yes. So so, Rick, we continuously evaluate our portfolio of assets to get an enhanced shareholder value in the long run. That's inclusive of under your live spectrum or infrastructure. And then that's something that, again, we we we did announce a small spectrum deal this past year, but it is something we're we're evaluating. And see if we to try to again, bring higher shareholder value.
Rick Prentiss: Makes sense. Okay. When you Carlos, I think you mentioned some restructuring charges. Was that comment restructuring charges just one Q25 would look like the restructuring one Q24, or was it that we restructuring charges in 25 will resemble more like what 24 costs were?
Carlos Doglioli: We mentioned the restructuring charges that we currently expect for Q1, Rick, which, you know, we expect them to be you know, of a similar size to what we had in Q1 of prior year. That was the reference.
Rick Prentiss: Okay. Our our I think for the year, maybe the total restructuring charges in 24 are more like $8 million versus one Q last year. It was like a million. Was that is that ballpark?
Carlos Doglioli: It was a little over a million in Q1. Yes. That is correct.
Rick Prentiss: Okay. You mentioned shareholder returns, managing cost cutting, managing CapEx, etcetera. How should we think about how shareholder returns might manifest itself?
Carlos Doglioli: Okay. I think, Rick, know, when you look at the way we've been, managing the capital intensity of the business, we feel that as we've been navigating of the challenges that we faced in the US and at the same time continuing to improve the business profitability and margins in international we grow revenues there steadily. We feel that we've been very prudent in improving the reduction of of our of of our CapEx spend. So we feel that we continue to move along the lines of that spectrum you know, probably now after we've finished our two-year investment strategy. And and we believe that that will allow us to improve cash flow over time. And and also move down our our leverage over time. As we've said, you know, our goal is to try to move it down to the two times over the medium term.
Rick Prentiss: And and shareholder value looking at potential dividend increases, potential stock buyback, what what when we say improved shareholder value, is it just increasing free cash flow, or is it actually kind of an enumeration back?
Brad Martin: Yeah. No. I so the in terms of the the dividends of the shared buyback, those are the purview of the of the board. So Goodbye. Our our commitment from an operational perspective is to make sure that we you know, we lower we improve our cash flow through improving EBITDA, margin, improve you know, improving EBITDA in general, and then reduce the capital intensity of the business. I think, you know, when as as we do that, we'll be able to drive leverage down and and have obviously optionality that that the board can leverage.
Rick Prentiss: Okay. Last one for me is on on the balance sheet, speaking of leverage, remind us of what your maturity schedule looks like and and kinda what your thought are on gross debt, not just net debt and leverage.
Carlos Doglioli: So I think at this point, we just refinanced Alaska this last year, the current maturity is our our facility and the Virgin Islands which I think is a meet mid time to next year. So we'll we'll continue to monitor how we go about know, managing our maturity as as we go through the year.
Rick Prentiss: Okay. Good. Thanks, guys.
Carlos Doglioli: Thank you.
Operator: As a reminder, to ask a question, please press star again, that is star one one to ask a question. Our next question comes from Greg Burns with Sidoti. Your line is open.
Gregory Burns: Good morning. In the US segment, how much is that business would you characterize as kinda legacy revenue streams and how fast is it declining, and do you have plans on maybe converting that to maybe contracts like you signed with AT&T Verizon, or is that just going to have a structurally decline over the next couple of years?
Brad Martin: Yeah. So so we do point out fact, you can see in our mobile in our our financials. Our mobile business in the US, you can see the decline from 23 to 24. That's one of the primary areas we just exited out of our retail mobile operations. In the southwest. And I think, yeah, as as you know, we participate in the remove and replace program. We did have and if you look at our top line our top line total broadband customers, that number has declined in the past year. Partially due to the shutdown of some of that legacy we call it mobile broadband customers. This is legacy LTE in the southwest. So was it relatively small, Greg? In the in in the overall total revenues because we've we've been making this transition. We still have legacy copper like any, you know, major operators you know, across the across the country. So moving towards, you know, copper shutdown is obviously a key initiative. We have that in the US. We have it internationally. That's an important dynamic for cost optimization into the future.
Gregory Burns: Okay. And then when we look at, I guess, the profitability of the US Telecom segment next year, is it just a function of the declining revenue that profitability is coming down or are you making incremental investments? What's driving the decline in in EBITDA next year?
Carlos Doglioli: I think that that that's a big driver, Greg, is the revenue decline with this. Some it it's a driver of the of the reduced profitability.
Gregory Burns: Okay. And then in terms of maybe monetizing the the capital investments you made over the last three years, you know, what what kind of investments or changes are you putting in place to accelerate the monetization of that and drive more fiber services and broadband growth?
Brad Martin: We that's part of the transition that we referenced in our US markets. You know, we we obviously had some challenges you know, within the 24 cycle. You know, we are making investments in those markets, these are businesses in transition. We put forth for a plan for 25. We we believe reflects the the right expense model to get these businesses ready for scale. You know, a key dynamic for our US markets obviously is in grant programs. As we stated, we we have won a significant amount of grant grant program money for build subsidies between 22 and 24. You know, we continue to we continue to we tend to continue to participate. And some of our operating states. Those are important dynamics to to really focus on fiber and fiber-fed telecom services on the consumer side. And again, some of the legacy technologies were in areas that that had a lot of service subsidies like ACP which went away this past year. So focusing our commercial efforts on where we can have the most success and the best overall returns is is an important shift in our US markets. For consumer and it's really continuing to to to grow and and expand our enterprising carrier. Revenue streams.
Gregory Burns: Okay. Great. And then just just lastly, just from a modeling perspective, what drove the decline in depreciation quarter over quarter? This this last quarter? And is that a good number to model against going forward?
Carlos Doglioli: I think, the the driver is in the less CapEx over the last several quarters.
Gregory Burns: Okay. So the $33 million number is the good I guess, a good number to model going forward into 25?
Carlos Doglioli: Yes.
Gregory Burns: Okay. Alright. Thank you.
Carlos Doglioli: Thank you.
Operator: Our next question comes from Rick Prentiss with Raymond James and Associates. Your line is open.
Rick Prentiss: Yeah. Hey, guys. Figured the call's almost done. I'm asking maybe a few more if I can. Wanted a question, you know, visibility. Obviously, last year, there were some some bumps along the way. How visible do you think this business is? I would assume that the carrier and managed solutions is is a more visible business than maybe the consumer side. But but help us understand your comfort and visibility in in what you're providing today. And last night.
Brad Martin: Yeah. Rick. So so we obviously are you know, there are major trends that we are seeing, you know, getting confirmed through pipeline development as I mentioned earlier, for you carry demand for for effective bandwidth. So that is something that the industry has been expecting. We we believe that in the areas we operate, is a combination of the work been done by, you know, some of our carrier partners for success around with their success academy on fixed wireless. Again, we partner with some larger carriers in our regions to be able to to deliver to deliver those services on a wholesale basis. So so that's, again, a good confirmation on a visibility perspective that we continue to drive. Ultimately, you know, we are continuing to move in our US markets. Yeah. There things that are that are somewhat less predictable. Some of the the government dynamics tariffs, as you know, are something that's been an evolving dynamic for most businesses, we're obviously monitoring that very closely. And and looking at where, you know, where those impacts could be, we think it's relatively immaterial. Based on the good work of our distributors and our supply chains. But but generally, you know, those are the things that that certainly keep us keep us up as as some venues out of our control that we we just have to manage those, and that's what every business has to manage. But, again, we are still still seeing growing demand for, you know, high-speed data, fiber fiber-fed services, in the enterprise and in and in the consumer. Even even albeit in our US markets, our our high-speed data consumer broadband base actually grew 20% over 2024. It'll be at a very small relative base comparison to our international. So, again, we definitely are seeing the demand being able to execute some of the major fiber programs we have in process, that is key. And as you know, as those programs gain momentum, and get off the ground, which is something that we saw through the the 24th period, things start going a little more smoothly. Things start going a little more on track. And that's what we're we're looking to see and it will help us with predictability here 25 and beyond.
Rick Prentiss: Okay. And then, Carlos, you mentioned one of the main goals in 25 is to stabilize the US domestic business. Should we imply with that that you're hoping to maybe return to some growth prospects? As you look into 26 and beyond that this is the year to kinda stabilize and create a good table and stage to go forward?
Carlos Doglioli: That is the expectation, Rick. And and I think as as Brad mentioned throughout the the call. You know, we also believe that some of the changes that we made in the US are gonna be are gonna solely buy their knowledge of the business and be able to drive the business forward you know, as as they continue to take hold of the of the management of the entities.
Rick Prentiss: Right. Okay. And then, Brad, you mentioned shutting down copper. Obviously, key initiative for a lot of telcos out there. It's very costly. Product out there. How much cost in advance of getting to the other side of that, is it? You know, is it a fast process to say, you know, by 26 or 27, we can be shutting down some some copper and then see some margin improvement. I'm just trying to think of the time frame to get the the legacy copper behind you.
Brad Martin: Yeah. A difficult one to to to answer directly, Rick, and that it it does vary a lot by markets. We will be for example, by end of this year, about a third of our copper exchangers shut down in Guyana Alaska, in our US markets, a lot of those will depend upon bid. Outcomes. Would be one of the primary ways which we will replace that some of that copper infrastructure. We have a very large copper plant in Alaska. That will be the longest. But I think in generally, like most telecoms, you know, telecom companies, we are targeting this, you know, you know, by 2030, we expect to make some to see some progress there. And we'll continue to see where some of these you know, infrastructure investment programs land that will be a pretty important determinative of that.
Rick Prentiss: Yeah. It does feel like there's support in Washington. AT&T is obviously making a big regulatory push as well. Yeah. Okay. That's thanks, guys.
Brad Martin: Yep. Thank you.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Brad Martin for closing remarks.
Brad Martin: Well, thank you all for joining us today. We look forward to continuing our discussions with many of you in the coming months. Appreciate your time and support. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.